Operator: Good morning, ladies and gentlemen, and welcome to the Gladstone Commercial Corporation's Third Quarter Earnings Conference Call. [Operator Instructions] Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded.I would now like to turn the conference over to your host, Mr. David Gladwell, Gladstone. I am sorry, go ahead, sir.
David Gladstone: Okay. Thank you, Stephanie. It was a nice introduction, and we are coming to you from the town that has the world-famous Washington Nationals Baseball team that just won the World Series in case you're wondering why we're still celebrating here. We do enjoy this time we have with you on the phone and wish that we had more time like this. We'll start off with Michael LiCalsi who is actually in his Washington Nationals host and baseball team uniform, so Michael go ahead.
Michael LiCalsi: Maybe not the full uniform, that kind of silly, but that's okay. Today's report may include forward-looking statements under the Securities Act of 1933 and the Securities Exchange Act of 1934 including those regarding our future performance. These forward-looking statements involve certain risks and uncertainties that are based on our current plans, which we believe to be reasonable and many factors may cause our actual results to be materially different from any future results expressed or implied by these forward-looking statements including all risk factors in our forms 10-Q, 10-K and other documents that we file with the SEC. Find all these on our website www.gladstonecommercial.com, specifically the Investor Relations page or on the SEC's website, which is www.sec.gov now. The Company undertakes no obligation to publicly update or revise any of these forward-looking statements whether as a result of new information, future events or otherwise, except of course as required by law.Today, we will discuss FFO, which is funds from operations. FFO is a non-GAAP accounting term defined as net income excluding the gains or losses from the sale of real estate and any impairment losses on property plus depreciation and amortization of any real estate assets. We'll also discuss core FFO, which is generally FFO adjusted for certain other nonrecurring revenues and expenses, and we believe this is a better indication of our operating results and allows better comparability of our period-over-period performance and please take the opportunity to visit our website, once again gladstonecommercial.com. You can sign up for our email notification service online there, could also find us on Facebook. Keyword there is The Gladstone Companies, and we even have our own Twitter handle and that's @gladstonecomps.Today's call is simply an overview of our results. So, we ask that you review our press release and Form 10-Q, again both issued yesterday for more detailed information. Again, those can be found on the Investor Relations page of our website. Up in the, and we have Bob Cutlip Gladstone Commercial's President who will take over from here.
Bob Cutlip: Thank you Super Nat's fan. Good morning, everyone. During the third quarter, we acquired a 78,500 square foot industrial property in Denton, Texas, acquired a 211,000 square foot two-building industrial property in Temple, Texas, Recast the Company's line of credit in term loan and implemented energy savings improvements at three office properties to reduce operating costs.Subsequent to the end of the quarter, we entered due diligence for the acquisition of a 65,000 square foot industrial property in Indianapolis, entered due diligence for the acquisition of a 231,000 square foot industrial property in Indianapolis, entered due diligence for the acquisition of a 241,000 square foot industrial property in Jackson, Tennessee, have two lease amendments negotiated and out for signature, a 100,000 square foot office tenant in Denver, Colorado, and a 40,000 square foot office tenant in Mason, Ohio and completed a public offering of six and five-eighths percent Series E perpetual preferred stock.As I've noted in the second quarter, we are beginning to enjoy the benefits of our team's focused efforts across all functions to improve operating results. This has been accomplished through three major activities, acquired accretive assets. During the period from 2012 through 2018, the average GAAP cap rate on acquisitions was 8.7% with mortgage debt placed at a 4.6% interest rate, renewed expiring leases and released vacant space. We maintained occupancy greater than 96% during the highest lease expiration period in company history and refinanced maturing mortgages at lower leverage levels.We've lowered our leverage from a high of 63% in 2013 to 45.9% as of the end of the third quarter. The results of these efforts equate to increasing cash flow year-after-year, and an improved capital structure as we approach $1 billion in total assets after depreciation, and the outcome of the recent recast of our line of credit in term loan and the successful offering of the six and five-eighth percent perpetual preferred stock further demonstrates the improvement in our operating position, which we believe will create opportunities for growth. Mike is going to expand upon the characteristics of these capital events shortly.Our investment and asset management activities continued to generate positive momentum for our operations during the quarter. We acquired a 78,500 square foot industrial building in Denton, Texas. The acquisition price was $6.5 million, and the going in and GAAP cap rates are 6.4% and 7.1% respectively. The unexpired lease term is 12 years. We also acquired a 211,000 square foot two-building industrial property in Temple, Texas. The acquisition price was 14 million. The going in and GAAP cap rates are 6.9% and 8.2% respectively, and the transaction was structured as a 20-year sale leaseback.Subsequent to quarter end, we entered due diligence on three industrial properties, a $9 million building in Jackson, Tennessee and two buildings totaling $13.7 million dollars in Indianapolis. The average GAAP cap rate on the properties is 7.5%, and the weighted average remaining lease term is approximately 10.2 years. We expect each of these properties to close during the fourth quarter subject to the successful completion of our due diligence. Our asset management team continued to deliver on improving our same-store operations.From a leasing perspective, our Midwest team has a lease amendment out for signature for 40,000 square foot office tenant in Mason, Ohio, which will extend the lease through April of 2030, as compared to the current lease expiration date of June of 2020 and will require no tenant improvements without amortization of all costs, and our Mountain West team has a lease amendment out for signature, which extends a 100,000 square foot tenant in a Denver multi-storey office property from September of 2021 through September 2026.These combined efforts serve to increase the weighted average lease term on our entire portfolio, and from an operation standpoint, our team is implementing energy savings improvements at three office locations in Ohio and Indiana. These programs require no capital expenditures by Gladstone, lower energy consumption in the States, upgrade building equipment, and lower going forward operating costs for the tenants. We plan to implement these energy savings projects at other locations as appropriate.Anticipating that many on the call are interested in lease expirations through 2020, I wanted to summarize the team's thoughts. During the remainder of 2019, we have three leases expiring representing $2.4 million of annual GAAP rent. We have active prospects for each of these buildings at this time. During 2020, we have eight leases expiring representing $8.8 million of annual rent, $6.6 million of this total expires during the second half of the year.Now, two tenants have formally notified us that they are vacating the premises, and we are actively marketing those spaces now. In fact, we are in lease negotiations for 50% of one of the buildings representing a 10-year lease term with occupancy commencing upon the existing lease expiration date, and we're in conversation with the balance of the tenants and are hopeful of positive outcomes with renewals.For GM, with a lease expiration date of August 31, 2020, we are pursuing two scenarios-they renew their lease or they vacate all or a portion of the space, they are not required to provide notice until December of this year. Therefore, we have begun to actively plan a release scenario by preparing space design concepts for a multi-tenant or full building user and/or engaging the market to identify potential tenant prospects and to validate current market rents and tenant improvement requirements. This information is helpful for either renewal negotiations or a new lease scenario.I think it's Interesting to note that our GAAP rent at the property of $14.50 per square foot feet triple net compares favorably in the submarket with current space sought in the low to mid $20 per square foot on a triple-net basis. Market conditions are worthy of some comment. National research firms have noted that new property listings and closings are down as much as 10% for the first two quarters of 2019 versus the prior year volumes and are estimating a similar maybe somewhat lower result for the third quarter.Entering the eleventh year of this cycle, they estimate that both pricing and investment sales volume may be peaking. In addition, we have noticed there's an apparent buyer-seller disconnect in the office sector, as evidenced by several notable properties returning to market after being under contract. Now, with that information in mind, significant capital is still available on the sidelines with a considerable interest in US real estate, and the expectation is for the 2019 investment sales volume to be similar to that of 2018, which is really still quite healthy for the industry.Our team is going to continue to monitor market conditions and actively investigate opportunities that promote our measured growth strategy. As it relates to growth opportunities, we have noted an increase in activity and sales listings as of late. Our current pipeline of acquisition candidates is approximately $300 million in volume, representing 25 properties, 22 of which are industrial.Of this total, approximately $140 million is either in the letter of intent or due diligence stage, and the balance is under initial review. As I've noted previously, we have made a conscious effort to increase our industrial allocation. Our focus is in fully developed industrial parks with properties that are 50,000 to 300,000 square feet in size and occupied predominantly by middle market non-rated tenants, a tenant profile, which we believe we can underwrite with our proven credit underwriting capabilities.This property type is also considered last mile in nature with the recent explosion in e-commerce activity. To show evidence of this strategy, from the last week of September 2018 through the end of October 2019, just over 12 months, we've acquired $114 million of properties. Over 80% of this volume or $96 million were industrial properties. These properties are located in our target locations, and the average GAAP cap rate is 8.1%.We believe this shift to increasing industrial allocation of our portfolio will result in a long-term benefits of lowering tenant improvement costs, reducing the intensity of our property management activities, and improving operating efficiencies. So, in summary, our third quarter activities continued our acquisition and leasing success, refinanced maturing mortgages, amended and extended our credit facility, issued equity through our ATM program and is positioning us well to pursue growth opportunities.Now let's turn it over to Mike for a report on the financial results.
Mike Sodo: Good morning. I'll start by reviewing our operating results for the third quarter of 2019. All per share numbers I reference are based on fully diluted weighted average common shares. FFO and core FFO available to common stockholders were both $0.39 per share for the 3rd quarter and $1.15 and $1.18 per share respectively for the first nine months of 2019. This performance demonstrates the accretive yet prudent growth that the Company has completed in recent years as well as the performance of the in-place portfolio inclusive of maintaining 99% occupancy. In addition to these accretive deals, our same-store cash rent growth continues to be 2% on an annual basis.Prior to 2018, core FFO hovered in the $1.50 to $1.54 per share range for the past number of years, as we de-levered the balance sheet and addressed lease rollover. 2018 results demonstrated our highest core FFO per share, and we intend to continue to grow profitability for our shareholders as well as increasing the industrial allocation of the portfolio. Our third quarter results reflect an increase in total operating revenues to 28.7 million including $100,000 in lease termination and contraction revenue as compared to total operating expenses of 19.4 million for the period.Now, let's take a look at our debt activity and capital structure. We continue to enhance our strong balance sheet as we grow our assets and focus on decreasing our leverage. We've reduced our debt-to -gross assets by nearly 15% to 45.9% over the past five years through refinancing maturing debt and financing new acquisitions at lower leverage levels. We believe that we are 1% to 2% away from our targeted leverage level, which means that nearly all raised equity will be allocated through accretive acquisitions.We believe that this will put us at the proper leverage level going forward. We continue to primarily use long-term mortgage debt to make acquisitions. As we grow through disciplined investments, we'll also look to expand our unsecured property pool with additional high-quality assets. Over time, we expect this will increase our financing alternatives. As we continue to manage our balance sheet, we have repaid $55 million of debt over the past 24 months, often with new long-term variable-rate mortgages at interest rates equal to the one month LIBOR plus a spread ranging from 2.5% to 2.75%.We have placed interest rate caps on all new variable-rate loans. We also added some of these properties to our unencumbered pool under our line of credit whether advance of permanent debt placement, disposition, or in an effort to provide more flexibility in the future by increasing the size of our total unencumbered assets.As Bob mentioned and was discussed last call, we amended, extended and upsized our existing credit facility in term loan on July 2nd. This highly efficient execution was well supported by not only our existing lending group, but also with the additions of Goldman Sachs and Wells Fargo. The combined facility was increased by $100 million to 260 million with the term loan being the majority of the facility at 160 million, including a delayed-draw component. The entire facility was extended for nearly two years with a 10 basis point rate improvement.All term loan borrowings continue to be hedged with LIBOR rate caps in the 2.5% to 2.75% range. In addition and after quarter end, we did successfully issue our new Series-E six and five-eighth percent perpetual preferred on October 4 totaling $69 million. With significant institutional and retail support, this execution allowed us to redeem our previously existing Series-E and Series-B preferreds, which on a weighted basis were nearly 100 basis points above the new Series-E from a coupon perspective.We believe these capital market transactions continue to speak to the growth of the Company and balance sheet enhancements that have been achieved as well as the long-term prospects for further prosperity with incremental bank backing going forward and access to efficient capital. Looking at our debt profile and with the credit facility recast complete, 2019 and 2020 loan maturities are very manageable with no maturities remaining in 2019 and only $20 million coming due in 2020. Number of these loans have extension options.We've continued to proactively manage and improve our liquidity and maturity profile over time. Depending on several factors including the tenant's credit property type, location terms of the lease, leverage, and the amount of term of the loan were generally seeing all-in rates on refinances and new acquisition debt ranging from the mid 3% to low 4% range. We continue to minimize our exposure to rising interest rates with over 90% of our existing debt being fixed rate or hedged to fix their interest rate swaps and caps.We've remained active in issuing our common stock using our ATM program during the third quarter and net of issuance costs, we opportunistically raised $7.4 million through common stock sales. While we continue to view the ATM as an extremely efficient way to raise equity, we continually keep our assessment of the relative value of the common stock as compared to trading prices in mind as we determine when to raise capital. As of today, we have $4 million in cash and $31 million of availability under our line of credit.With our current availability and access to our ATM programs, we believe that we have significant incremental flexibility to fund our current operations, properties we are underwriting, and any known upcoming improvements at our properties. We encourage you to also review our quarterly financial supplement posted on our website, which provides more detailed financial and portfolio information for the quarter. We feel good about continuing to execute our business plan during the remainder of 2019 and beyond, as we continue to increase our high-quality asset base and continue to improve our metrics.We're focused on maintaining our high occupancy with strong credit in real estate. With minimal near-term lease expirations along with manageable loan maturities, our deployment of capital will be heavily focused on high-quality real estate acquisitions with strong credit tenants. Institutional ownership of our stock increased by more than 17% at the beginning of 2016 to 58% as of September 30th, bob and I continue to be active in meeting with current and potential institutional investors, portfolio managers, investment banks and the like.We look forward to further engaging with not only our existing investor base, lenders, and coverage analysts, but also establishing new relationships as the Company moves forward to its next chapter.And now I'll give it back to David.
David Gladstone: All right, thank you very much, Mike. That was a good report and good report from Bob Cutlip and Michael LiCalsi as well. It was a very nice quarter, acquiring industrial properties in Denton, Texas and a two-building industrial property in Tempe as well -- Temple as well and that's near Austin, Texas. We've recast the Company's credit line in term loans, so that we're in good shape there and we did issue the Series E preferred on September 30.The team is growing the portfolio at a really good pace and doing a great job managing the balance sheet. Continue to believe that they have promising list of potential quality properties with good tenants and expect a number of acquisitions over the next two to three quarters. Middle market business area is still very strong. We are seeing our tenants being able to pay their rent and so as a result, we are cranking along and it's a good time to be in this business.In October, the board voted to maintain a monthly distribution of 12.5 cents per common share for October, November, and December. That's an annual run rate of $1.50 per year. This is a very attractive rate for a well-managed REIT like ours, which we believe is an excellent investment for individuals that want monthly income.I know you're asking us again when we're going to increase the distribution, our policy is not to discuss the strategy or board matters prior to adoption, but we're going to be focused heavily on it in January. However, we do hope to make some small increases. We don't like staying at $1.50. We want to increase it per year just to keep up with inflation.We've now paid 177 consecutive common stock cash distributions, and we went through the recession, as you know, without cutting the distributions, and we do not want to hurt that record. Stocks now are at $23.19 and distribution yields about 6.5%, and it's a really good rate considering that the whole net universe is trading at about 4.4% yield and if our stock was there, we'd be over $30 a share. So, we still have plenty of room to run. I think there is a lot of chance that the price could expand even further. Okay. I'm going to stop here and Stephanie if you'll come on board and help some of our good listeners ask some questions.
Operator: Thank you, [Operator Instructions] Your first question comes from the line of Rob Stevenson with Janney.
Rob Stevenson: Good morning, guys. Bob, can you talk about where you've seen the most opportunity acquisition wise and what's the sort of pipeline for maybe later half of fourth quarter and into 2020 look like today? Is it still largely industrial? Are you still able to hit the yields that you've been achieving on recent transactions?
Bob Cutlip: Yes, Rob, pretty good question. I mean, the team has made I think an excellent transition to focusing on industrial and I think because of the engagement of our regional teams from junior investment sales people to senior investment sales people, we're able to stay in what we call that sweet spot of somewhere between $5 million and $25 million per copy and where we're seeing the opportunities are in the Midwest.As I have indicated, Indy has been a very good player for us, Columbus is a very good player for us, Philadelphia is a very good player for us. Chicago now, we're seeing a couple because of our stock price where it is and where debt is, we're able to see some there. Even in the suburbs of Atlanta, and I must say the suburbs of Atlanta, I wouldn't. We did that Orgill acquisition, that's in Tifton, Georgia but, and David had commented, Bob, where in the heck are you going to buy this building, I go, listen, you know, look at this building.It's midway between the Port of Brunswick and the Port of Jacksonville on I-75 going south out of Atlanta, and there just happens to be a huge concentration of industrial players there and why not because they're utilizing the port. So, our team is really focused on those types of locations where we have access to ports, we have access to being, let's say, an asset that is the last mile, and as I've indicated and what really makes me feel very good about our opportunities here is our ability to underwrite credit.I mean, we can underwrite these middle market tenants which are predominantly those in the last mile, and we do a very good job of keeping highly -- those highly occupied. So, if we stay in those markets I'm talking about right there plus we can work also in and outside of, let's say, Dallas and in Austin as well, those will be good. Gateway markets, though, we're not going to be able to play because the cap rates are still too low for us, but we will be able to still stay in that going in cap rate, low-to-high sixes, mid-sevens to high sevens on the GAAP cap rates, so long as our stock price holds and the debt stays as it is.
Rob Stevenson: Okay and then Bob or David. I mean -- given the comments on exploring some sort of inflationary dividend increase out there, does that impact your thoughts on selling assets? Obviously, there's not a tremendous cushion between earnings and the dividend. How much dilution would you be willing to take on a sale of office assets and redeploying into industrial if it meant hitting earnings by a penny or so, but improving NAV, how do you guys think about that with the Board in terms of the sort of triangulate of earnings growth, earnings cover or dividend coverage and dispositions.
Bob Cutlip: I think from a disposition standpoint, we are not making a focused effort to exit office assets, as Mike, I, and David have said, we want to exit these non-core single property markets, but selectively and the reason that it is selectively is that the tenants are good rent payers and we've been through renewal with most of them, so you're probably going to only see us exit $10 million to $15 million a year, which I think is not going to create an issue for us as we look forward to increasing the dividend.And we've worked extremely hard now to get our AFFO payout ratio down to at par, which Mike can address a little bit more if he wishes and so I feel confident that we are going to be able to increase that dividend, in this David said earlier, when we start, we want to make sure that we can do it consistently on a year-over-year basis, and I believe with now our leverage coming in line, with the payout ratio coming in line, and with our pipeline really improving dramatically and with the shift to industrial where our re-tenanting costs, our tenant improvement costs are much less. I feel confident we're going to be able to do it.
David Gladstone: Yes, Rob, but we've been debating this at every Board meeting probably for the last year, year and a half of beginning to move up the dividend by a little tiny smidgeons of increases but all total during the year would be enough to keep ahead of inflation and with inflation being as low as it is, you don't have to do a lot. We just don't want to be a sort of static bond fund with the same dividend forever in a day. So, I can't give you more information in that because it's on the agenda to talk about again in January.
Rob Stevenson: Okay. And then Mike, given the various capital raises. How much dry powder do you have for acquisitions without raising additional capital or taking leverage levels out of whack?
Mike Sodo: Sure. So as of today, I made mention on the call, Rob I mean, we have about $4 million to $5 million of cash on hand, $30 plus million available on the credit facility. So, you're looking at $35 million without raising a dime and doing those deals. If you did not have access to the ATM program and you did those deals at 50% leverage, that would imply real time that you could fund $70 million of acquisitions, I would say that the ATM program has been active in every month of 2019. The expectations should be based upon a fairly robust pipeline that we will be active in the near term to incrementally increase that liquidity.
Rob Stevenson: Okay, thanks guys.
Operator: Your next question [Operator Instructions] it is from the line of Henry Coffey with Wedbush.
Henry Coffey: Yes, good morning everyone. I don't know whether it's winning the World Series or putting out a phenomenal quarter, but you guys, the tone is more upbeat that it's been in a long time. So congratulations. Is this good news or bad news, everyone we talked to in the commercial real estate space tells us multifamily is really active. Industrial is really active. Our portfolio is changing hands at levels that you think are attractive or is all of this volume because there is there is sort of inflationary, the values are inflated or not -- I never know whether a good market is good news or bad news for someone whose primary goal is investing in new properties. So, what are your thoughts on the overall tone of the market? Given them, how active industrial is?
David Gladstone: Henry, the market is very good. As you know, our background here has been lending and investing in small businesses for years and years and years. So when we see a tenant that's mid size business and has a good balance sheet and the P&L, we feel pretty comfortable with that. We're able to underwrite them and so the tone today in terms of what we're seeing in the industrial marketplace is good. The tenants are good, then say it's going to be that way for even a year, but at this point in time, we're not, we're not feeling the pain that some of the people are in other parts of the real estate marketplace.
Mike Sodo: The only thing I would add to that is our asset management team stays so very close to the tenants and just kind of it, it reinforces what David said. Our tenants are feeling very good about their future, there, and most of them are in a growth mode. So, that is encouraging to us, particularly with the type of asset. The smaller asset that we are focusing on.
Henry Coffey: So, and...
David Gladstone: Things are positive
Henry Coffey: I think we get that part. The thought process in terms of outlook for 2020 is obviously going to be very solid, as you start thinking about a recession, how would the business adjust, is industrial a stronger asset class versus office versus other assets. I know, I mean, we know what you did last time was really good, so.
David Gladstone: Henry, all of these assets are only as good as the tenants. If you look at our business, we're really buying, when we buy a building, we are buying a tenant and we are buying a leasing agreement. So we are investigating whether they can pay or not, probably more than most people in the business simply because many people rely on some kind of valuation by S&P or somebody like that, we don't rely on that.We rely on our own analysis of that business, the time and place that they are in at that point in time, and what's their outlook is going to be like, and I think we've chosen tenants that will survive nicely through any kind of normal recession. If we have some kind of off the kind of recession, we'll -- we'll have pain like everybody else, but at this point in time, we're feeling really good. The retail climate is very strong today and so many of our tenants are in that part of the world and I think we have a clear vision about the next six months and maybe even a year, but nobody knows much further than that.
Henry Coffey: Great, well, thank you, very solid quarter.
David Gladstone: Thank you Henry.
Henry Coffey: Thank you.
David Gladstone: Next question.
Operator: Your next question is from the line of Craig Kucera with B. Riley FBR.
Craig Kucera: Hey, good morning, Appreciate the color on the three leases expiring later this year. I know that Tulsa asset is in industrial, but what are the other two?
Mike Sodo: One is an industrial asset that is in, in kind of Northern Ohio and it, the other one is an office property in Columbus, Ohio. But it is not of one -- neither one of those are 100% of -- the one in Ohio, that is in the industrial, is 50% of the building and then the asset that is in Columbus, Ohio, it's less than 20% of the building. So, we have active prospects for those two assets, and for the Tulsa asset, we also have -- we've a long-term opportunity there. That is probably maybe two to three months off from a final decision and then we have a short-term opportunity that we're pursuing for that Tulsa asset as well. So, encouraging because the -- office asset in Columbus is -- is in an excellent mixed use environment, and we're somewhat partially encouraged about the industrial asset in Maple Heights, Ohio.
Craig Kucera: Got it. And do you have a sense of where the current rents are at those properties relative to market and kind of where the rents are rolling up or down?
Mike Sodo: The rents in the Maple Heights office are right at market and then if I talk about the asset that's in Columbus, Ohio, I think we are at or a little below market there and in the Tulsa market, we're probably to be brutally honest, we're probably 5% to 10% above market based on our current rent.
Craig Kucera: Right...
Mike Sodo: I mean that's, it's just when you get into a long-term lease with net leases and it's 2% to 3% escalations and you go through a correction, it's difficult to be at market, but I feel very good about the Maple Heights and the Columbus asset for sure.
Craig Kucera: Got it. And switching to acquisitions, I think last quarter you guys had thought maybe you'd hit 115, maybe upwards of 125 million of acquisitions for this year. I think after this quarter, and what you disclosed here that's sort of due diligence, you're probably a little closer maybe 90 million, 91 million. Are you far enough along in the remainder of your pipeline to maybe still hits in acquisition total in that range or is that maybe a bit of a stretch at this point?
Mike Sodo: I think that we're going to be somewhere between 110 million and 125 million.
Craig Kucera: Okay.
Mike Sodo: With us having a 140 million you know in the letter of intent stage and only 20 million to 22 million in due diligence, we have just recently been selected for two other items -- two other acquisitions, but I'm not identifying those in due diligence, because we have just begun the purchase and sale agreement negotiations, but because of the desire for a lot of these sellers to close by the end of the year, I feel very confident that we're going to be in that 110 to 125 range.
Craig Kucera: Got it. And just when we think about that $300 million pipeline that you guys discussed, conceptually is this going to be more or less what you've been doing, I understand it's tilted to industrial, but sort of mid-Western shall we say industrial sort of middle market type of properties or is there anything shifting in the pipeline?
Mike Sodo: I think Midwest has been a very good player for us, but we're starting to see opportunities -- continuing to see opportunities in Florida and in Georgia, and I think that we, you will hear us doing a bit more in Georgia and South Carolina going forward and surprisingly our South Central leader is finding assets in Dallas and Houston. So are we going to go out far West, only if it's a portfolio. If it's a portfolio of five to six properties where it makes sense to put them together, we will do that, but otherwise, we're really going to be focused more on the Midwest, Southeast, and South Central.
Craig Kucera: Okay, thank you.
David Gladstone: Next.
Michael LiCalsi: Next question please.
Operator: Your next question is from the line of John Massocca with Ladenburg Thalmann.
John Massocca: Good morning.
David Gladstone: Good morning, John.
John Massocca: So understanding that -- with the understanding that you're GM asset in Austin, is R&D focused and not manufacturing, even with that is there anything that maybe came out of the recently agreed to kind of labor contract with GM that gives you any kind of insight as to what do you think they're going to end up doing with that property. Was there anything in there that given what happens in that Austin facility you think, be continue to be a focus are not a focus going forward for them?
Mike Sodo: You know, we have not been given any direct information from them, but with this being an innovation facility and with the movement in the entire auto industry to continue to improve innovation, there's four of these assets in the country for GM. So you know, they may elect to leave, John. I mean if they do, as I indicated in the last quarter's call, I'm not overly concerned because our dog on our current GAAP rate is probably $5 to $6 below current asking lease rates and having walked the property myself and it really setting up really well as 260,000 square foot buildings with creative office and as being in the Palmer Technology quarter, we have already received interest from a couple of prospects, even though the notice period hasn't even -- notice period notification hasn't actually come to us. So I'm not overly concerned. Do I wish that they will renew? Oh, yes, there is no doubt about that, but, but if they don't being in Austin and that market being extremely hot, feel very encouraged long-term.
John Massocca: Okay, very helpful color. And then, can you maybe walk us through the impact of the clean energy improvement program that you've accomplished at some of your office properties. How big is maybe the opportunity set kind of utilize that within the existing portfolio and maybe how impactful is that to operating expenses?
Mike Sodo: Well, I can. You know I have a little knowledge, so I'm dangerous, but I can give you a summary of how the program is set up. It's really a combination of the state and of the local jurisdiction and of lenders who -- and companies who can provide these let's say improvements in HVAC systems, LED lighting, and analysis that is done indicates that the cost to replace this equipment enables the tenant at the end of the day to realize anywhere from 10% to maybe 20% reduction in utility costs, not overall operating cost, but in utility cost, and it also is a function of, a part of the payment is done by them, increasing their taxes, but then you'd have lower operating costs, and at the end of the day, everybody wins and sometime it's the state program, sometimes it is not a state program.
John Massocca: But is it being done at any kind of offices where you have a gross lease in place and therefore it flows through your to lower operating expenses?
Mike Sodo: It's going to -- It's going to benefit the tenant.
John Massocca: Okay.
Mike Sodo: It's going to benefit the tenant, because the way, we have most of our leases, when we actually acquire the property, if it's a gross lease for the most part, everything above that is paid for by the tenant and what happens John is that their taxes go up, but the utilities go down, and so at the end, our benefit is that we don't have to put any capital in the building, we get building improvements, and the tenant at the end of the day pays less which encourages them to renew.
John Massocca: Okay, understood. And then moving to the balance sheet. In light of the kind of term loan expansion, do you think the time is kind of right maybe to migrate the balance sheet to a more significant usage of unsecured debt going forward? I mean is that the strategy here in the near term?
Mike Sodo: Yes, good question, John. I think it's a dual track strategy appreciating we're in a great environment where the one month LIBOR is right on top of the 10 year, as I've made mention in the past, we're selectively financing our acquisitions twofold. There is very attractive long duration money when coupled with long leases. So, I would say roughly half of the acquisitions we're continuing to put mortgages on, generally in the mid-to-high 3% range, but to your point, as we have aspirations to continue to grow and we are approaching, net of depreciation, $1 billion of assets. We look at the balance sheet within the lens of where we will want to finance properties over the next 12 to 24 months even.And yes, we would like to continue to cultivate our unencumbered asset pool via the expanded credit facility. So, when we get to the time and place where we have a use of proceeds for larger corporate issuances such as private placement debt or ultimately getting to corporate unsecured, we've cultivated an unencumbered asset pool to a place at which it's palatable for us to borrow. Right now, our unencumbered asset pool sits in the, call it 25% to 27% range. We know to get to private placement, you need to be in the mid-to-high 30s and corporate unsecured/investment grade calls for roughly 50% with pro forma to 60. So, we're going to continue to put on the books fixed rate or swapped or hedged to fixed long duration debt while also improving that unencumbered percentage.
Operator: I'm showing no further questions at this time, I would now like to turn the call back to David Gladstone.
David Gladstone: All right, thank you all. We had a good quarter. Everything is perking along as expected, and we will talk to you next quarter. That's the end of this call.
Operator: Ladies and gentlemen this concludes today's conference, thank you for your participation and have a wonderful day, you may now disconnect.